Operator: Good afternoon, ladies and gentlemen, and thank you for standing by. At this time, I would like to welcome everyone to Stellus Capital Investment Corporation's conference call to report financial results for its first fiscal quarter ended March 31, 2024. This conference is being recorded today, May 10, 2024.
 It is now my pleasure to turn the call over to Mr. Robert Ladd, Chief Executive Officer of Stellus Capital Investment Corporation. Mr. Ladd, you may begin your conference. 
Robert Ladd: Thank you, Kelly, and good morning, everyone, and thank you for joining the call. Welcome to our conference call covering the quarter ended March 31, 2024. Joining me this morning is Todd Huskinson, our Chief Financial Officer, who will cover important information about forward-looking statements. 
W. Huskinson: Thank you, Rob. I'd like to remind everyone that today's call is being recorded. Please note that this call is the property of Stellus Capital Investment Corporation and that any unauthorized broadcast of this call in any form is strictly prohibited. Audio replay of the call will be available by using the telephone number and PIN provided in our press release announcing this call.
 I'd also like to call your attention to the customary safe harbor disclosure in our press release regarding forward-looking information. Today's conference call may also include forward-looking statements and projections, and we ask that you refer to our most recent filing with the SEC for important factors that could cause actual results to differ materially from these projections.
 We will not update any forward-looking statements unless required by law. To obtain copies of our latest SEC filings, please visit our website at www.stelluscapital.com under the Public Investors link or call us at (713) 292-5400. Now I'd like to turn the call back over to our Chief Executive Officer, Rob Ladd. 
Robert Ladd: Thank you, Todd. We'll begin this morning by discussing our operating results, followed by a review of the portfolio, including asset quality. I'll then talk about dividends and outlook. 
W. Huskinson: In the first quarter, we more than covered the dividend of $0.40 per share with GAAP net investment income of $0.42 per share. Core net investment income was $0.44 per share, which excludes estimated excise taxes. Net asset value per share increased $0.15 during the quarter as a result of net unrealized appreciation on our investment portfolio as well as generating NII in excess of the dividend.
 Life-to-date review. Overall, since our IPO in November 2012, we have invested approximately $2.5 billion in over 190 companies and received approximately $1.6 billion of repayments while maintaining stable asset quality. We've paid over $252 million of dividends to our investors, which represents $15.35 per share to an investor in our IPO in November 2012.
 Turning to portfolio and asset quality. We ended the quarter with an investment portfolio at fair value of $876 million across 94 portfolio companies, up from $874 million across 93 companies at December 31, 2023. During the first quarter, we invested $23.8 million in 3 new portfolio companies, $5.8 million in other investment activity at par. We also received 2 full repayments totaling $26.2 million and $5 million of other repayments, both at par, resulting in net portfolio growth at value of $1.4 million, including the impact of net unrealized gains of $3.1 million.
 At March 31, 99% of our loans were secured and 98% were priced at floating rates. The average loan per company is $9.9 million and the largest overall investment is $19.5 million, both at fair value. Substantially all of the portfolio companies are backed by a private equity firm. Overall, our asset quality is slightly better than planned. 25% of our portfolio is rated at 1, or ahead of plan; and 19% of the portfolio is marked at an investment strategy -- investment add category of 3 or below, meaning not meeting plan or expectations. Currently, we have 4 loans on nonaccrual, which comprise 2.1% of the fair value of the total loan portfolio.
 And with that, I'll turn it back over to Rob to discuss dividends and the overall outlook. 
Robert Ladd: Yes. Thank you, Todd. As a reminder, part of our investment strategy has been to invest in the equity of our portfolio companies in a modest way in order to generate realized gains sufficient to offset losses over time. Although we did not have any realizations in the first quarter, so far in the second quarter, we have realized one equity position and expect to realize one more, which will mean combined proceeds of about $5.3 million and expected to generate $3.8 million of realized gains and a slight uptick in NAV. And worth noting, the combined multiple of these 2 realizations is just over 3x our original cost basis.
 At the end of the quarter, we have $60.6 million of equity investments at cost that were marked at $74.9 million. Our historical performance would indicate that the ultimate realization for this portfolio would be greater than 2x our portfolio's cost basis. Of course, however, the ultimate performance of our current equity positions will be dependent on a variety of factors, including, among other things, the economic environment and sponsors' exit strategies.
 Now about dividends. As you see, we continue to cover our dividend of $0.40 per share per quarter. And to this end, looking forward to Q3 of 2024, we expect, subject to our Board of Directors' approval, to continue our monthly dividend of approximately $0.13 per share, resulting in aggregate dividends of $0.40 per share for the third quarter.
 And now to outlook. Since quarter end, we have funded $10.9 million in 2 new and 2 existing portfolio companies at par. Additionally, we did receive one repayment of $11.4 million at par and one equity realization previously noted. Proceeds for that were approximately $3 million, which resulted in a realized gain of $2 million. You then combine this activity with our other net funding of about $2.8 million, this brings our total portfolio to approximately $875 million at fair value with 95 portfolio companies. Again, this is as of today.
 Now looking forward to the balance of the quarter. We are expecting a meaningful increase in fundings and no known loan repayments. As a result, we expect to end the quarter with a portfolio which will be in excess of $925 million; in other words, $50 million higher than where we are today. And with that, I'll open it up for questions. Kelly, if you'd begin the Q&A session, please. 
Operator: [Operator Instructions] Your first question is coming from Christopher Nolan with Ladenburg Thalmann. 
Christopher Nolan: Were the realized losses from Numet Machining? It wasn't clear to me. 
Robert Ladd: They were. That was the position that had been marked at 0 for some time and that was the final realization, but no impact on NAV. Chris, are you still there? 
Operator: It looks like Chris has left the queue. 
Robert Ladd: Okay. Why don't we go to our next question and then we can come back to Chris when he comes back on. 
Operator: Okay. There are actually no further questions in queue at this time. 
Robert Ladd: Okay, good. We'll wait just a second. Let's see if Chris comes back. 
Operator: Sure. We do have a question from Bryce Rowe with B. Riley. 
Bryce Rowe: Rob, I wanted to just kind of ask about market conditions, if you wouldn't mind. You just talked about some good activity here that is expected in the second quarter, especially from here to the end of the quarter. Can you talk about what pricing is looking like? Any kind of dynamic from a competitive perspective that you're seeing with these transactions that would compare to others in the portfolio? 
Robert Ladd: Yes. Sure, Bryce. So thank you for joining. So as going back to our last earnings call, I'd indicated that we were slower in terms of activity, but that we thought the activity would pick up in the second half of the year. Well, it turned out, it picked up in the second quarter so -- and more recently. And again, this is the M&A activity we were expecting that would start coming back, which it has.
 So I'd say that in terms of the competitive dynamics and maybe overall market conditions, so all the transactions we're looking at are same type of not overlevered. Leverage is typically 4x or less. All have covenants. Most have equity co-invests, so the typical thing. The one thing that has changed in the market is a little bit less spread that -- think of it in 3 or 4 months ago in the 6s overall. And we've seen spreads come down 50 basis points or a little bit more over time. That's the only change we've noticed, but again, quite a bit of pickup in activity.
 And the other thing I wanted to note is I talked about the equity gains or expect one that's already occurred, another expected this quarter or could slip into the first month of the following quarter. But did learn about recently we have a couple more that we are hearing might come in the fourth quarter. So this would be an indication on both sides. On the new deal front, M&A activity picking up and now on the existing portfolio side, M&A activity picking up, resulting in more gains for us later in the year. 
Bryce Rowe: Okay. And Rob, when you think about it, you just said that some of the activity got pulled forward from what you thought to be second half to second quarter. Is there still a pretty active pipeline beyond what you see here coming in the second half or the second quarter? 
Robert Ladd: Yes. So wouldn't expect anything to change there for the balance of the year. It's picked up meaningfully. 
Bryce Rowe: Okay. And then when we think about funding the new activity, how should we think about that? I mean obviously, you have some room on your credit facility. And I guess with the benefit of visibility here towards what can close in the back half of this quarter, how do you think about using equity versus debt to fund that? 
Robert Ladd: Yes. So I'd say that relative to equity, our stock price has come back some. So as we were active last year with our ATM program, we would certainly look at that in this year, again really driven by the pipeline. But I think it would be more likely in that form then and kind of in a larger offering. So think of the ATM being something we would use this year.
 But then overall, I think it'd be helpful that -- from a leverage perspective, as you pointed out. So we have quite a bit of capacity in our bank facility, and we have quite a bit of cash in our SBIC entities that is from repayments. So as an example, we have quite a bit of capacity to get beyond the $925 million I indicated is a likely number and certainly the $950 million or more. So I think we're in good shape. But again, overall capital is good and we could see some activity in the ATM. 
Bryce Rowe: Okay. Last one for me just in terms of kind of internal risk ratings, there was some movement from the December quarter to the March quarter. It looks like Category 3 bumped up a bit. Can you talk a little bit about kind of the dynamic driving that? 
Robert Ladd: Yes. Just looking at the changes, I'd say normal evolution in the portfolio over time. Nothing that we would characterize as overly concerning. You'd have to get to a 4 where we would -- that's where an investment -- a loan investment would be considered nonaccrual, so 3 would be operating below plan.
 And I just would note that we had some upgrades, which again would be normal, too. We had a couple of positions move to a 1, a 3 move to a 2. But overall, I'd say not worrisome. And so we look at the entirety of the portfolio and our average weighted risk rate, as Todd mentioned, is a little bit less than 2, which means better than planned. 
Operator: Your next question is coming from Erik Zwick with Hovde Group. 
Erik Zwick: Wanted to start a little bit on in terms of your comments about so far in the second quarter, not seeing any repayments from a number of the other BDCs that have reported this quarter. Repayment activity has been pretty high. I know it's tough to have a certain high degree of certainty in your outlook over probably the next couple of months or so. But do you think there's something inherent in your portfolio that's resulting in lower repayments there? Is this just kind of maybe a temporary lull here that we're seeing this quarter? 
Robert Ladd: Yes. I think it's that, Erik. It's certainly ebbs and flows. But as I mentioned, we've recently learned about a couple of companies that are going to come to market in the third and fourth quarter. And they would result, in addition to an equity gain, would result in some good repayments. So I think we've just gotten to a little bit of a low point here. 
Erik Zwick: Got it. That makes sense. And the only other question I had, I was just curious, given the fact that rates have -- kind of base rates have remained high now for a while and they seem to kind of be staying here and probably not any near-term probability of them going materially lower, as you're underwriting loans and potentially negotiating floors in there, has there been any ability to increase those floors at all? Or are they still kind of sticking around to the levels that we've seen for the past number of years? 
Robert Ladd: Yes. So we've always been focused on floors. And generally, they vary between 1% and 2%, and think of us as being closer to 2%. 
Operator: The next question is coming from Christopher Nolan with Ladenburg Thalmann. 
Christopher Nolan: All right, I'm back. Yes, no, my phone works now. You have some maturities coming up on your SBA loans next year and then following after that. And I know the amount maturing in 2025 is only around $12 million or so, but it starts to step up after that. And the cost of that debt is -- seems to be really low at this point. What are your options? I mean can you refinance that with the SBA and get similarly low-cost funding? Or is this something that you're going to have to be bank facility refinanced? 
Robert Ladd: Yes. So the -- it's a good question. So we do have, as you know, 2 SBIC licenses. And the first of those licenses, the debentures will start to come due in March of next year and then they're spread out over a number of years. And so we are in the process of applying for a third license. So this should -- think of us as going forward, and this is a normal evolution in terms of the SBA process.
 And then a follow-up thought would be they are -- many of those debentures were struck at a lower interest rate environment, as you're pointing out. And the debentures are priced off the 10-year treasury plus a market premium, which is typically less than 1%. So our cost of funding, if things don't change by next year, we will be borrowing at somewhat of a higher cost of the SBA.
 But I would think of it as the 10-year treasury, which is now under 4.5%, or at least it was yesterday, and so at a premium so you're probably here in the 5s. But that would compare to a regular way bond offering of similar duration in the 8s or higher. So still very favorable rates, but yes, higher than we currently have. 
Christopher Nolan: And then I guess more of a strategy question. You get some other BDCs, which -- well, I guess I noticed that you had a management fee waiver this quarter, but your leverage is so low and you had a management fee waiver last quarter. And I'm just thinking, why don't you just lever up a little bit more if there's -- I mean I don't know why that's going on because your earnings seem to be pretty good. 
Robert Ladd: Yes. So this -- I think you're referring not to a management fee waiver but an incentive fee waiver, and this is just a function of our 12-quarter test. Not all BDCs have this but we have a 12-quarter test where you look back for historical performance. So we have had a little bit of a waiver in the first quarter. May have a little bit more this year, but that's just a function of that test. 
Operator: There are no additional questions in queue at this time. I would now like to turn the floor back over to Mr. Robert Ladd for any closing remarks. 
Robert Ladd: Okay, yes. Thank you, Kelly, and thanks, again, everyone, for being on. Thank you for your support, and we look forward to reporting the second quarter in August. Take care. Enjoy the summer. 
Operator: Thank you, everyone. This does conclude today's conference call. You may disconnect your phone lines at this time, and have a wonderful day. Thank you for your participation.